Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good day, and welcome to Global Indemnity Group, LLC’s Third Quarter twenty twenty one Earnings Conference call. Today's conference call is being recorded. The speakers’ remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including without limitation, believes, expects or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us with the future, plans, estimates or expectations, contemplated by us will in fact be achieved. 00:39 Please refer to our annual report on Form 10-K for the year-ended December thirty one, twenty twenty and our other filings made with the SEC for a description of the business environment in which we operate and the important factors that may materially affect the results. Global Indemnity Group, LLC is not under any obligation and expressly disclaims any such obligation to update or altered forward-looking statements, whether as a result of new information, future events, or otherwise. 01:10 I would now like to turn the call over to Mr. David Charlton, Chief Executive of GBLI. Please proceed.
David Charlton: 01:18 Good morning. Thank you for joining our earnings call. Reiner Mauer, our Chief Operating Officer; Jonathan Oltman, President, Insurance Operations; Tom McGeehan, our Chief Financial Officer, and Steve Ries, Head of Investor Relations are joining me for this call. After I complete my remarks, Tom will provide additional updates on our results. I will conclude with my closing remarks, and then we'll open it up for Q&A. 01:49 The third quarter had strong gross written premium growth of twenty one point three percent to one hundred and seventy point three million dollars. Our growth is coming in the right places from our core businesses. Penn-America Binding programs and casualty reinsurance with the most significant drivers for the quarter. 02:11 Net loss for the quarter was seven point seven million dollars. Hurricane Ida was at fourteen point eight million dollars event for us. Property Brokerage also has significant negative impact on the quarter. Excluding Ida and Property Brokerage, combined ratio would have been eighty eight point five percent. So a similar story the past quarters forecast (ph) and property losses are behind the negative results. 02:40 Let's now review our recent actions taken since Investor Day to address these areas. The Property Brokerage Business division will not be a separate unit going forward. There are non  policies with limits greater than ten million dollars and policies that are written in unprofitable habitational lines. The go-forward focus is to target historically profitable areas of property with our Penn-America programs and other E&S businesses. 03:14 The Property Brokerage business is down twenty three point one percent year-to-date and will continue to run-off in profitable business in the remainder of twenty twenty one and ended twenty twenty two. The further growth of our strategy to focus on core small and middle market commercial lines, we recently completed the sale of manufactured home in Dwelling book that were contained in our Specialty Property segment, the K2 Insurance Services and American Family Mutual Insurance Company. I would like to thank the teams from K2 and American Family for selecting (ph) such great partners on the deal. This transaction makes sense as an integral component of our corporate strategy. 04:02 By selling these business lines, Global Indemnity will receive thirty point four million dollars in cash as well as retaining the American Reliable fifty-state license operating unit, sixty five million dollars of net capital supporting the business and a related forty two million unearned premium reserve. We will see a gain on the sale coupled with a decrease in written premium and a reduction in volatility and catastrophe exposures. 04:36 Our reduction in Property Brokerage and the sale of manufactured home and dwelling will enable us to significantly reduce our reinsurance requirements in twenty twenty two and accelerate the growth of our core commercial specialty businesses, Penn-America and United National. As I shared, September at Investor Day, we are focused most particularly on building out our commercial specialty operations. 05:05 We are transitioning to a business mix of seven percent casualty and thirty percent property, enabling us to produce more consistent earnings quarter-to-quarter by substantially reducing cat exposures and earnings volatility. We will continually enhance and fine tune our businesses to achieve long term and consistent profitability. 05:29 I'm pleased to advise we are still on track to launch our three new businesses environmental, excess casualty, and professional in the first quarter of twenty twenty two. We continue to make critical key hires for the three new teams and build out the product, technology and analytics for all businesses that comprise GBLI. 05:53 This concludes my opening remarks. Tom will now provide color on our results.
Thomas McGeehan: 05:59 Thank you, David and good morning. Commercial Specialty lines continued their strong growth. Gross written premium at ninety six million dollars for the quarter is up twenty eight percent from twenty twenty. Penn-America Binding gross written premium was fifty five million dollars, an increase of approximately thirty four percent from twenty twenty. United National Programs gross written premiums was twenty seven point five million dollars, up approximately twenty seven percent. 06:33 Vacant property gross written premium at six point four million dollars was up one percent. Property Brokerage had gross written premiums of six point nine million dollars and was down twenty six percent in the quarter due to actions taken to improve profitability. Commercial Specialty lines suffered in underwriting loss of eight point six million dollars, primarily due to catastrophe losses from Hurricane Ida and several high severity losses in the Property Brokerage line. 07:04 Reinsurance continues to perform well. Gross written premium was twenty nine point six million dollars, compared to fourteen point six million dollars in the third quarter of twenty twenty. This is due to increasing participation on a casualty quota share treaty, the global has assumed for the last several years and writing several smaller casualty treaties in twenty twenty one. Its combined ratio for the quarter was ninety six point two percent. 07:31 Farm, Ranch & Stables gross written premium was eighteen point five million dollars down five percent from twenty twenty. This is due to taking action to reduce premium that is not providing an adequate return on capital and reducing catastrophe exposure. Underwriting income was close to breakeven. 07:53 Lastly, Specialty Properties gross written premium of thirty point five million dollars was down twelve percent compared to twenty twenty. It had an underwriting loss of three point three million dollars primarily attributable to catastrophes and in particular Hurricane Ida. 08:13 Investment income was nine point three million dollars, which is down from eleven point seven -- eleven point seven million dollars in twenty twenty due to low bond yields offset somewhat by growth in the investment portfolio. The embedded book yield on the fixed income portfolio was two point one percent compared to two point four percent at September thirty, twenty twenty one. Duration on the fixed income portfolio was lower to three point six years at September thirty, twenty twenty one compared to four point two years at December thirty one, twenty twenty. 08:52 Operating cash flow for the first nine months was sixty six million dollars compared to thirty four million dollars for the first nine months of twenty twenty. Twenty twenty’s operating cash flow included an alternative minimum tax carry forward recovery of eleven million dollars. Excluding the tax recovery, operating cash flow increased forty three million dollars. The increase is mainly due to gross written premium growth, premiums collected increased by forty six million dollars for the nine months ended September thirty, twenty twenty one compared to the same period in twenty twenty. 09:34 In twenty twenty one, casualty net earned premium was forty eight percent of total earned premium compared to forty percent for the same period in twenty twenty. Casualty losses take longer to pay than property losses, respectively (ph) as gross written premium grows and a greater percentage is comprised of casualty business, operating cash flow will benefit. 10:01 And now I turn it back to David.
David Charlton: 10:03 Thank you, Tom. As we shared a couple of months ago, at the Investor Day, our transformation of GBLI is not short term, but a five-year plan. We are being actionable on the business as historically had a negative impact on our earnings, and we are working hard to build our core businesses. Our strategy is in play and is being executed by a solid and committed team. 10:31 That concludes our remarks and we are now open -- we'll now open the call to your questions.
Operator: 10:38 At this time, we will be conducting a question-and-answer session.  Our first question is from Julia Ferguson with Dowling & Partners. Please proceed with your question.
Julia Ferguson: 11:21 Good morning. Thank you for taking my question. Hello. Can you hear me?
David Charlton: 11:32 Yes, ma'am.
Julia Ferguson: 11:31 Yes?
David Charlton: 11:32 Yes, we can.
Julia Ferguson: 11:34 Thank you. Yeah. My first question would be about the sale of the part of the Specialty Property business of American reliable. A few questions. First of all, I understand that a lot of this business is cat exposed and this combined with also your actions you are taking on your Property Binding business should further decrease your cat exposure. So my question would be, should we think that your expected annual cat load which I think you indicated about thirty five percent on your Investor Day for the year, should it go down even further with that? 12:26 Then overall, what would be the impact on the earnings going forward and also on the premium growth. Should we kind of -- how should we think about your five year target of the sale of this business, should be more kind of  adjusted base premium growth more on a higher end of your range. And also would there any underwriting impact, I know that the business was underperforming, but I understand that go-forward, you were looking for combination that business about ninety four percent. So it's assumes some expected underwriting profit from it? 13:07 And first of all, what actually are the subject premiums. I understand there's just some subset of your specialty property business specifically for manufactured and dwelling? That's my first question.
David Charlton: 13:26 I'll try to take the first part. This is David. So, yes, twenty twenty one, we had a cat load of thirty five point four million. So when the specialty property business is fully transitioned, we would expect a reduction of about -- between ten million dollars to fifteen million dollars around twelve million dollars on that business. And then that is not taking account of low  of our Property Brokerage business. So that would just give you an idea of how that affects us on the thirty five point four versus twenty one. 14:01 And Tom, do you want to address some of the other…
Thomas McGeehan: 14:04 Yes. There's a lot of questions there Julie, but I will – if miss anything, please step in. So, again, when we modeled the manufactured home and dwelling book individually, the one and two fifty PML of that book was about -- I'm sorry, it was fifty three million dollars. Now the way that the -- when we renewed our tax treaty round numbers, are one and two fifty dollars was about one hundred million dollars. Now, when you model, it doesn't necessarily means that the PML is going to reduce by the full fifty three. It's not a subjective type of  size, but there will be a significant reduction in the PML. 14:56 And on an ongoing forward basis, our catastrophe treaty renews on June one of next year. We are strategizing today on how that prospect of reinsurance structure will look. We don't have the answers for that today, but we would expect that our reinsurance cost, our reinsurance buy will be significantly less as a result of the sale, and the reductions that are happening in Property Brokerage. 15:28 Now, in terms of premium growth at Investor Day, we had targeted. We had noted that we expect that on a going forward basis, our net premiums written would increase on a compound annual growth rate of at least six percent annually. That's the bottom end of the range that we would be targeting. We would expect it that it could be higher as David has noted, we have the new lines that will be going into place. And we have been experiencing good growth out of our commercial lines and reinsurance businesses. 16:07 Okay. And I'll pass it back to David now for -- what's in and not in the K2 deal.
David Charlton: 16:14 Yeah. So in the K2 deal, we sold the renewal rights and that's for the mobile home and the dwelling business. And that excludes the state of Louisiana all the sheets are included in that and then also on the forward business we sold the rights that's not reinsurance as part of the deal. Outside that we kept within specialty property our collectible and our homeowners businesses, which are really  very long.
Julia Ferguson: 16:46 So how much premium overall is going away is giving your rights to you?
David Charlton: 16:51 Yes. Round numbers when this deal is complete, it will be about ninety five million dollars and that includes the sale of the rights plus what we will not renewed for what we've retained on with Louisiana. So, it will take twelve to eighteen months to get the full benefit of this Julia. But as we schedule, you'll see a reduction in significant reduction in specialty property premium.
Julia Ferguson: 17:22 Okay. No. That makes sense. And you indicated there is some gain on this transaction.
David Charlton: 17:31 Yeah. There's two things. We will receive thirty point four million dollars that's broken up into two pieces. The sale of the business lines will be for twenty eight million dollars. K2 is also taking space in our Scottsdale location, they will be assuming about one third of the space through a sublease transaction between now in twenty twenty nine that is worth two point four million dollars.
Julia Ferguson: 18:02 Okay. But that's a cash proceeds, right and the gain or any gain -- gap gain, you will recognize.
David Charlton: 18:11 That is, yes. What will happen is from a gap standpoint, the twenty eight million dollars will be booked immediately, now just to be clear, we will be taking up a hard look because we are not going to be continuing this business on a going forward basis. When we purchased the American reliable back in twenty fifteen, we still have the small amount of goodwill and intangibles on our books. We have software that is backing the specialty property business and to the extent that we will not be using those assets on a going forward basis. We will be writing those off in the fourth quarter. So there will be a gain, but it will be less twenty eight million dollars.
Julia Ferguson: 19:01 Okay, makes sense. No that's perfect. Thank you. And just -- I want just one to clarify, if I understood this correctly, so the cat load of thirty five million dollars it is reduced by twelve million or?
David Charlton: 19:15 That is to be clear. That's the amount that we had, that was our average expected loss when we developed our plan for twenty twenty one. So, yes, the overall amount that we expected for cats was around thirty five million dollars and approximately twelve million dollars of that was specialty property.
Julia Ferguson: 19:37 Okay. No perfect.
David Charlton: 19:38 Strictly planned.
Julia Ferguson: 19:40 Okay. Yes. I understand. No, that's great. And if I may another, totally unrelated question. This increased severity of property loss is not non-weather non-cat property losses. You are not the only company who talks about it, other companies on the conference calls also talked about that. So, can you kind of give me a little bit more information about that how you explain it, if there is any trend, somewhat related to the current state of the economy?
Thomas McGeehan: 20:19 It's the most part on the non-cat has within Property Brokerage, and a lot of businesses been within our net retention of the two million dollars and so we've seen up both a higher frequency and severity on those lines. And that's another reason why -- especially within the habitation of book of business. So that's why we are non-renewing that the habitational side of it. We have other pieces, of property, they're actually running very well, be that in unless risk,  and those of areas that will be moving and we'll continue to write managing our limits in more than ten million dollars and but we'll be writing that business outside of our business segments that focus on package business as well.
Julia Ferguson: 21:05 All right. So there is no any kind of specific trend you can see in that because I thought it was for several quarters you mentioned something like that in your press releases and 10-K?
Thomas McGeehan: 21:18 No, it's really this traditional property loss not that good .
Julia Ferguson: 21:23 All right. I think that’s all for me for now.
David Charlton: 21:28 Okay.
Operator: 21:31 Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back over to Steve Ries for closing remarks.
Steve Ries: 21:41 Thank you. This concludes our earnings update call. Thank you for listening. Look forward to speaking with you again soon.
Operator: 21:49 This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.